Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Second Quarter 2025 Macerich Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to turn the conference over to Samantha Greening, Assistant Vice President, Director of Investor Relations. Please go ahead.
Samantha Greening: Thank you for joining us on our second quarter 2025 earnings call. During this call, we'll be making certain statements that may be deemed forward-looking within the meaning of the safe harbor of the Private Securities Litigation Reform Act of 1995, including statements regarding projections, plans and future expectations. Actual results may differ materially due to a variety of risks and uncertainties set forth in today's earnings results, supplemental and our SEC filings. Reconciliations of non-GAAP financial measures to the most directly comparable GAAP measures are included in the supplemental filed on Form 8-K with the SEC, which is posted in the Investors section on the company's website at macerich.com. Joining us today are Jack Hsieh, President and Chief Executive Officer; Dan Swanstrom, Senior Executive Vice President and Chief Financial Officer; and Doug Healey, Senior Executive Vice President of Leasing. And with us in the room is Brad Miller, Senior Vice President of Portfolio Management. And with that, I'd like to turn the call over to Jack.
Jackson Hsieh: Thank you, Samantha, and good afternoon. I want to begin with where everything starts for us at Macerich, our people and their commitment to our mission and values. We are collectively a better informed, aligned and operationally focused company. Our second quarter results, the progress on our Path Forward plan and the acquisition of Crabtree Mall demonstrate how well we have put this mission and values to work together. Thank you all for your contributions that have brought us to this point. Now let's turn to our recent Path Forward plan. I want to let that update guide our discussion this afternoon. Recall that our Path Forward strategy is built on simplifying the business, operational performance improvement and leverage reduction. We are solving for strengthening the balance sheet, fortifying our core portfolio, driving operational excellence and positioning us for growth. We provided an update to our Path Forward plan in May, which included a comprehensive NOI bridge from year-end 2024 to 2028 for pro forma go-forward portfolio NOI. It also provided a road map for 2028 target FFO ranges and a path to our 2028 target leverage ranges. We also provided an update on the composition of our go-forward portfolio and identify which properties have been ranked as Fortress, Fortress Potential, Steady Eddies and Eddies. As Dan will discuss later, you will now see some of our supplemental KPIs broken down under the go-forward portfolio. A significant component of the plan is driving operational performance improvement. This all begins and ends with leasing. Leasing is the piece of the plan that best tracks the progress on hitting our 2028 targets. Recall that we are targeting an average of 4 million square feet of leasing in 2025 and 2026. Year-to-date, we've already signed 4.3 million square feet. I'm pleased to say that we are ahead of schedule on leasing volume and on target for our market rent assumptions used in our 5-year plan. I want to focus on our leasing speedometer and SNO pipeline. These metrics best track our progress on driving a higher percentage of new lease deals versus renewals, which in turn drive higher spreads and incremental revenue to achieve our NOI targets. We provided a helpful visual for you in the planned update for the leasing dashboard that we refer to internally as the Macerich leasing speedometer, which tracks revenue completion percentage for all new leasing activity in the 5-year plan. This tool and other technology enhancements we've implemented drive every leasing and capital allocation decision at our properties. Our initial goal on new deals was 50% progress by mid-2025 and 70% by year-end 2025. Hitting the 70% goal by year-end would put us on track for the 85% completion target by mid-2026. Reaching that goal also puts us on track for our ultimate opportunity to achieve the $130 million in cumulative SNO potential. Reaching that mid-2026 leasing goal would effectively complete the new leasing goal outlined in our plan. We remain ahead of this plan on both the new deal completion and the SNO pipeline. For new deal completion, we were at 54% at the end of last quarter and 60% in May. Today, we're at 65% and have a large pipeline of LOIs, which puts us on pace to exceed our 70% year-end target. The SNO pipeline has grown from $75 million on a cumulative basis at the end of last quarter and $80 million in May to $87 million as of today. That also [ has ] us on track to exceed our SNO pipeline target of $100 million by year-end. None of these figures include the addition of Crabtree. I noted on our last call that we were confident we derisked the key elements of the Path Forward plan with our leasing, disposition, capital markets and leverage reduction progress. That progress on the plan positioned us to opportunistically pursue external growth via an attractive transaction. At the end of June, Macerich acquired Crabtree Mall, a market-dominant Class A retail center totaling approximately 1.3 million square feet in the Raleigh-Durham, North Carolina MSA for approximately $290 million. The strategic rationale for this transaction is compelling. It's accretive to the Path Forward plan 2028 target FFO range, a powerful entry point to one of the top southeastern U.S. markets. It holds a market-dominant position in a high-growth market with the REIT -- with top retailers in the country identifying it as the #1 or #2 must-have location in the region. We have a perfect opportunity to deploy our operating, leasing and marketing platform to reinvigorate leasing momentum and drive permanent occupancy from 74% as of June 30 to closer to 90% by 2028 and capture the embedded NOI growth upside potential. And is expected to keep us within our stated deleveraging targets under the Path Forward plan. We're excited to close this acquisition as Crabtree enhances our go-forward portfolio and creates a compelling opportunity to drive shareholder value. Doug will comment on the strong leasing momentum we've already seen at Crabtree and the tremendous response and feedback we have received from many retailers who are elated that we now own and manage Crabtree. In closing, I feel very good about where we are on the Path Forward plan and with the addition of Crabtree to our go-forward portfolio. As I noted earlier, we're ahead of plan on leasing. We're also ahead of plan on asset sales and dispositions. We have a clear road map for hitting our deleveraging targets. Our team is working well together, executing nicely on the key components of the Path Forward plan and properly incentivized and aligned on shareholder value creation. With that, I will turn the call over to Doug.
Douglas J. Healey: Thanks, Jack. In my remarks this afternoon, I'll refer to total portfolio statistics and where applicable, I'll provide the go-forward portfolio statistics as well. Portfolio sales at the end of the second quarter were $849 per square foot, which is up $12 when compared to the first quarter of 2025. However, when you look at our go-forward portfolio, sales were actually $906 per square foot. Traffic through the second quarter for the portfolio was up 1.6% when compared to the same period in 2024. For the go-forward portfolio alone, traffic was up 2.1%. Occupancy at the end of the second quarter was 92%, down 60 basis points from the last quarter. As we signaled on our last call, this decline is primarily due to the liquidation and closing of our Forever 21 stores, all of which occurred in the second quarter. As I mentioned last quarter, Forever 21 had a lot of square footage, but did not pay a lot of rent. Recapturing these stores now allows us the opportunity to remerchandise the space with higher and better uses that will pay significantly more rent. To date, we have commitments on just over 50% of the closed square footage with another 30% in the letter of intent stage. We still expect to more than double the rent Forever 21 was paying us once we complete backfilling all of the space. The go-forward portfolio occupancy at the end of the second quarter was 92.8%. Trailing 12-month leasing spreads as of June 30, 2025, remained positive at 10.5%, which is relatively consistent with last quarter. This now represents 15 consecutive quarters of positive leasing spreads. In the second quarter, we opened 332,000 square feet of new stores for a total of 509,000 square feet year-to- date through June 30. Also in the second quarter, we signed 331 new and renewal leases for 1.7 million square feet. Year-to-date through the second quarter, we signed 650 new and renewal leases for 4.3 million square feet. In terms of lease signings, this represents 40% more leases and 75% more square footage than we signed during the same period in 2024. And just looking at new deals, it's double the number of leases and triple the amount of square footage that we signed during the same period last year, all of which are in line with the rental assumptions we used in our 5-year plan. We're very excited to announce the signing of 142,000 square foot DICK'S House of Sport at Washington Square in what was a vacant Sears box. For those not familiar, DICK'S House of Sport is an experiential retail concept that is built on the foundation of a traditional DICK'S Sporting Goods store by adding interactive elements such as climbing walls, batting cages and golf simulator. DICK'S House of Sport is the epitome of destination-oriented and will create a more engaging and immersive experience for customers. We expect this will totally transform the Sears wing, both in terms of better merchandising and increased traffic. DICK'S House of Sport is expected to open fall of 2027, and we look forward to doing much more business with this concept, including a Freehold Raceway Mall, which is under construction and opening later this year and the Crabtree Mall, which is signed and will open spring of 2027. So stay tuned for more news on DICK'S House of Sport throughout our portfolio. Other notable leases signed in the second quarter included 3 stores with Urban Planet totaling 60,000 square feet to replace Forever 21 at Freehold Raceway Mall, Kings Plaza and South Plains. We also signed Sephora at Fashion Outlets of Chicago and Green Acres Mall, Cheesecake Factory also at Green Acres Mall, Kids Empire at Freehold Raceway Mall and Tysons Corner and Round One at Victor Valley, just to name a few. Now let's look at our Executive Leasing Committee, which reviews and approves deals on a biweekly basis. As I've mentioned before, this is a much more forward-looking and better representation of the current environment and retailer sentiment. Through the second quarter, we've reviewed over 70% more new and renewal deals and [ 140% ] more square footage than we did during the same period last year. And if you look at new deals only, we reviewed double the number of new deals and quadrupled the amount of square footage than we did during the same period last year. Turning to our lease expirations. As of June 30, we have commitments on just about 90% of our expiring 2025 square footage that is expected to renew and not close with another 9% in the letter of intent stage. In terms of 2026 expiring square footage, we have commitments on almost 30% of our expiring square footage with another 45% in the letter of intent stage. So as you can see, we're basically done with 2025 and in very good shape with our 2026 business. For both 2025 and 2026 lease expirations, we're ahead of pace when compared to this time last year when looking at our 2024 and 2025 expirations. The retail environment remains very strong even with the noise of uncertainty in the macroeconomic environment and the pending tariffs. As I mentioned last quarter and still stands, the best brands remain very active and continue to take advantage of great space and great centers. To that end, in May, we attended the annual ICSC convention in Las Vegas. It was very well attended by both landlords and retailers. The move was positive with many national retailers having significant open- to-buys and/or talking about new brand extensions. It was also good to see many new and emerging brands such as Alo Yoga, [ Pop Mart, Rowan ], gorjana, [indiscernible] and Fabletics continue to expand their footprints in shopping centers. We look forward to the next ICSC convention in December in New York City. Turning our attention to the singed not open or SNO pipeline for our go-forward portfolio. At the end of the second quarter, we had 179 leases for 1.5 million square feet of new stores, which we expect to open between now and early 2028. In addition to these signed leases, we currently have leases out with new stores totaling 1.6 million square feet. And these 2 will open between now and into early 2028. So in total, that's over 3 million square feet of new store openings throughout the remainder of this year and beyond. This leasing activity has increased our SNO pipeline from $75 million as of last quarter to almost $87 million today with our goal to exceed $100 million by the end of this year. Lastly, as Jack mentioned, we're thrilled to now own Crabtree Valley Mall in Raleigh, North Carolina. Already a great mall and a great market, there is still a ton of potential to garner from this asset. We are reimagining this mall through a more dynamic tenant mix, enhanced customer experiences and refreshed, modern and inviting environments. In just a short 45 days since we've owned Crabtree, the interest from and conversations with existing retailers and those that want to be in Crabtree, has been extraordinary. We look forward to many major leasing updates in the very near future. And with that, I'll turn the call over to Dan to go through our second quarter financial results.
Daniel E. Swanstrom: Thanks, Doug, and good afternoon. I'll start with a review of our second quarter financial results. FFO, excluding financing expense in connection with Chandler Freehold accrued default interest expense and loss on non-real estate investments was approximately $87 million or $0.33 per share during the second quarter of 2025. I would like to highlight the following items included in our FFO adjusted for the quarter. Number one, $9 million of interest expense relates to the amortization of debt mark-to-market resulting from our various JV interest acquisitions, which compares to $3 million in the second quarter of 2024. As a reminder, this noncash expense is included in interest expense. Number two, $2 million of total combined expenses relating to legal claims expense at one of our properties and severance and staff transition expenses. Following the release of our Path Forward plan version 2.0, which included an update on the composition of our go-forward portfolio, we have now begun to include certain supplemental financial and operating information on the go-forward portfolio in our supplement. We will continue to evaluate additional enhancements or disclosures to our supplement in the coming quarters. Go- Forward Portfolio Centers NOI, excluding lease termination income increased 2.4% in the second quarter of 2025 compared to the second quarter of 2024. Year-to-date, the Go-Forward Portfolio Centers NOI has increased 2% compared to the same period in 2024. Turning to the balance sheet. We recently closed on a previously disclosed approximately $160 million 2-year term loan with 2 1- year extension options on Crabtree Mall at an interest rate of SOFR plus 250 bps. We used a portion of the net proceeds to fully repay borrowings on the revolving line of credit associated with the purchase of Crabtree. The term loan also allows for future additional borrowings up to approximately $50 million to fund capital investments and leasing costs at Crabtree Mall. We continue to make strong progress on the balance sheet initiatives contained in our Path Forward plan. For the balance of 2025, we have only one remaining maturing loan in November for approximately $200 million. And we're continuing to proactively address our remaining 2026 debt maturities through a combination of potential asset sales, refinancings, loan modifications or property givebacks. We currently have approximately $915 million of liquidity, including $650 million of capacity on our revolving line of credit. From a leverage perspective, net debt to EBITDA at the end of the second quarter was 7.9x, which is almost a full turn lower than at the outset of the Path Forward plan. And importantly, we've outlined our strategy to further reduce leverage to the low to mid-6x range over the next couple of years. We are also making substantial progress in executing on planned dispositions as part of the Path Forward plan. In April, we closed on the sale of SouthPark for $11 million. This asset was unencumbered. In July, we closed on the sale of Atlas Park for $72 million. We used our 50% portion of the net proceeds from this sale to repay our 50% portion of the $65 million loan on the property that has an effective interest rate of over 9% and a 2026 maturity date. As previously disclosed, we are currently under contract to sell Lakewood, which is expected to close in the second half of 2025, subject to customary closing conditions. We expect net proceeds to Macerich of approximately $5 million above the debt balance outstanding. We are also now under contract to sell Valley Mall for $22 million, which is expected to close in the second half of 2025, also subject to customary closing conditions. This asset is unencumbered. These sales transactions are consistent with our stated disposition plan to improve the balance sheet and refine our portfolio. We have made substantial progress on the sales and giveback component of the plan and has identified a clear path to achieving our $2 billion disposition target. To date, we have completed over $800 million in mall sales. And as you will see in the disclosure we provided in our supplement, this includes Country Club Plaza, Biltmore, Southridge, The Oaks, Wilton Mall, SouthPark and Atlas Park, which are closed. This total also includes Santa Monica Place in which the loan encumbering this property is in default. The sale of Lakewood and Valley Mall, which again are both now under contract, would increase our sales completed total to approximately $1.2 billion. And then we have identified internally several additional Eddie assets for sale or giveback over the next 1 to 2 years, which would increase total dispositions to the $1.4 billion to $1.5 billion range. The remaining dispositions in our plan represent the sale of outparcels, freestanding retail, non-enclosed mall assets and land. As you will recall, our 2025 goal for this bucket of dispositions is $100 million to $150 million in total sales for the year. I'm pleased to report that we currently have approximately $100 million sold or under contract against this target. Year-to-date, we have now closed on land sales for $55 million at our share and various outparcel assets for $9 million at our share. And we currently have approximately $14 million of additional land sales and approximately $22 million of additional outparcel sales under contract for sale. We continue to expect to be substantially complete on this last bucket of the disposition program by the end of 2026. We'll provide further updates on these sales as we progress through the year. In conclusion, we are making great progress on our Path Forward plan objectives to reduce leverage, refine the portfolio and strengthen the balance sheet. With that, we'll turn the call back over to the operator.
Operator: [Operator Instructions] And our first question will come from Ki Bin Kim with Truist.
Ki Bin Kim: Jack, can we first talk about Crabtree? It almost sounds too good to be true, all generating sales of $950 a square foot, trading at 11 cap. So maybe you could just give a little more background into it, how well marketed it was and how you thought about some of the risks with Belk, Macy's there as tenants?
Jackson Hsieh: Yes. Thanks, Ki Bin. Good to hear from you. Well, first of all, on the trade area, we'll start from there. We looked at that trade area and within that Raleigh-Durham MSA, there's approximately 10 centers that account for about 6.8 million square feet of GLA. So that's about 3.1 square feet per capita. One of those malls, Triangle is about 1.3 million, and we think that's kind of on the road to be repurposed. So overall, like the GLA per capita in the Raleigh-Durham area, we expect it to be around 2.4 million -- 2.4 square feet per capita. So that's obviously, in our opinion, like a good ratio. But specific to Crabtree, I think it was a unique situation for us. It had a value-add component, right? The NOI is going from $32 million to $36 million pro forma with the still north of $40 million. It did require some real leasing effort and capital to kind of reimagine some of the merchandising mix and drive more incremental traffic. The other thing that was unique to Crabtree was just the size. Because that NOI was ramping, I suspect it would be difficult to get a more permanent, highly leveraged loan on that asset with the NOI ramping like that. So more than likely, that required probably competitors to put in a fairly significant equity check north of $100 million. And we suspect that most of the people we were competing at were looking at opportunistic IRRs. So I think that was a unique asset. I mean, I'm not sure we're going to be able to replicate that kind of cap rate in the future, but we hope so. But we're elated on this asset. And as Doug talked about, the leasing interest and momentum that we have and the opportunity to kind of reconfigure without getting specific, some of the merchandising in that center is going to really be able to drive a lot of traffic, especially as I mentioned that we think one of the major malls in that area are probably going to potentially get repurposed.
Ki Bin Kim: Okay. And I believe that store -- that mall has the only Apple Store in Raleigh located in it. Does that inclusion of that very highly productive retailer move the sales per square foot productivity to a significant degree? I know it always [indiscernible] just curious, just from a unique situation.
Jackson Hsieh: Yes. I mean we look at -- when you look at sales, you look at them with Apple, without because Apple is really highly productive from the sales per square foot basis. Even if you excluded the Apple Store, I think we put in the materials, the sales per square foot is still very productive. And like I said, if you look at the permanent occupancy in that center, that's the thing that excited us so much, the ability to drive more market rent, more permanent occupancy. There is -- we've already done a merchandising mix analysis. There's a lot of brands that need to be represented in but are not. And I think that those brands know that we're committed long term to this trade area into this location. So I think that gives them a lot of confidence that they can be there and perform. If you get a chance to go down there, we're already repainting the interior of the center, and we've got capital plans for the parking lot railings that we'll start to push through later this year as real enhancements to the center.
Operator: And the next question will come from Linda Tsai with Jefferies.
Linda Tsai: The overall pace of your leasing is quite impressive with over [ 3 million ] opening between now and next year and over [ $100 ] million by year-end, you're hitting your goals and then some. What other benchmarks do you need to hit before you reinstate guidance?
Jackson Hsieh: I think, Linda, the asset sales are an important component as well because they -- that has a lot of disruption to earnings, especially the timing. So we unfortunately have 2 pedals that we've got to push at the same time. We're balancing asset sales and leasing and all are going well. But to try to predict timing on asset sales, some of these can kind of delay or move sooner than later. So we'd rather not try to put guidance -- be constrained by guidance numbers versus just keep pedal on the metal for asset sales and leasing.
Linda Tsai: Second question is it looks like your bad debt was down year-over-year. How is the watch list trending? We saw that [ Claire's has ] filed.
Daniel E. Swanstrom: Yes. Linda, this is Dan. That's right. Bad debt through the first half of the year is about $2.8 million relative to about $5.6 million for 2024. So our watch list does continue to be at an all-time low. With respect to Claire's, we have about 33 locations in our go-forward portfolio, which represent about 50 basis points of rents. These spaces are roughly 1,300, 1,400 square feet, but are in good locations. We're confident we can re-lease those probably at least at the existing rents, but with healthier tenants that will improve the merchandising at our centers. And in fact, as part of the go-forward plan, we had already anticipated getting a number of those spaces back in our plan. So given the size and location of the spaces and the relatively small total rent they were paying, we don't see any impact to the 5-year plan. And as Doug alluded to in his remarks, I think importantly, and to your point about the bad debt being lower than last year, we don't think Claire's is indicative of the strong retailer environment that we're seeing today.
Linda Tsai: Has your bad debt guidance changed?
Daniel E. Swanstrom: No.
Operator: And the next question will come from Michael Griffin with Evercore.
Michael Anderson Griffin: Curious if you could give some color on the TIs in the quarter. I noticed it jumped pretty notably compared to last quarter. It seems like you did more new leasing. So that probably drove a portion of it. But just give us a sense of maybe what the concessionary environment looks like currently?
Jackson Hsieh: Maybe I'll start with -- remember that we've got a very high number of anchor stores that are in play right now. Anchor stores, depending on how you decide to resolve them, whether it's you get a DICK'S House of Sport or you chop it up or you decide to put another use in there, all require different levels of CapEx, depending -- or tenant allowance. There's also landlord work involved in a lot of this when -- if you're reconfiguring an existing department store. I would say that when we talk about our new leasing, that momentum, a lot of it is in line. And generally, I would say our TA expense has not really changed today year-to-date or much at all, still in that 1 to 1.5x annual rent. Anchor stores are very different kind of question, and there's not one size that fits all. A deal at Tysons will look very different than a deal at Washington Square or a deal in a Steady Eddie asset. So I expect that you'll see TAs and landlord work go up and continue to move up as we've stated, we get after a lot of these vacant unproductive anchor stores because our goal is to drive traffic in those wings, as Doug talked about, the Sears wing at Washington Square, that's been kind of the funk for a long time. It's going to be extremely exciting when DICK'S is finally opened down there, and we're able to really remerchandise that wing. And so we're just going to replicate that almost 30x across our portfolio. There's about 28 opportunities in play right now. If you went out to see SCHEELS, same effect. You put a dominant great driver of traffic at the end of that wing, and you can really do a lot of things in line, leading up to that location. So our priority in terms of a strategy shift starting 1.5 years ago was to really get after these vacant anchors. And that really meant foregoing maybe some of the densification opportunities that prior leadership was looking at and really more what's going to drive traffic, traffic drives sales, sales drives our ability to raise rent and have tenants cover their cost of occupancy.
Michael Anderson Griffin: I appreciate the context there. And then maybe just switching over to sort of external growth activities. You clearly demonstrated finding attractive deals with the Crabtree acquisition. As you kind of play out that proof of concept on the go-forward path, whether it's being ahead of your leasing expectations, that SNO pipeline, what have you, does that give you maybe more confidence to turn that acquisition engine on? Are these deals more opportunistic? Just trying to wrap my head around how you're thinking about external growth activities in the context of the go-forward plan.
Jackson Hsieh: I mean I'd say like, I'd start with Crabtree made sense from a portfolio contribution configuration for Macerich. We candidly were looking at some other centers. I would say that not all centers are the same, not all going in cap rates are the same. We really look at that relationship of market rents, the ability to reignite leasing momentum, what the trade area and competition dynamic looks like. Crabtree is really set up perfectly for that. I can say there are other things out there that are also pretty interesting, whether or not we decide to move forward, whether or not it meets our, I call it, low to mid-teen IRR thresholds and is accretive to our portfolio. I mean, time will tell. But one of the things that gave the Board a lot of confidence in us as senior leaders is the momentum that we're seeing in our business from a leasing and dispose standpoint are very significant. I mean I know Doug talked about all the leasing and doing comparisons to last year. I mean the way I think about it is we have -- in our go-forward portfolio, we've got [ 3-point ] million square feet of signed leases. We've got 2 million square feet of leases out that typically has a very high 95% historical completion rate. And we've got 2.3 million square feet of LOIs where we're kind of trading paper with a tenant. Now that historical ratio might be 50%, 60%. But what that tells me is I see 8 million square feet of opportunity that's either signed, leases out or LOI. And like I said, we're only 70% through the year, and we've still got another year plus to finish our plan. So I think we're way ahead of plan, and we're just going to keep driving it. And we're at market rents, too, which -- and that's the same TA assumptions, tenant allowance assumptions that we had pro forma in our 5-year plan.
Operator: And the next question comes from Jeff Spector with Bank of America.
Jeffrey Alan Spector: Just coming back to Crabtree. Again, I understand the strategy. Thanks for laying all that out, the market positioning, leasing opportunity. I guess can you just weigh the decision, again, buying Crabtree, the CapEx required versus, let's say, using that cash on hand to just pay down debt? And obviously, with Crabtree, your leasing team now focusing on a new market, I guess can you just talk through that decision?
Jackson Hsieh: Jeff. Yes. I mean we had a lot of cash on hand. It was very ideal or opportunistic for us. I suppose when we thought about the idea of paying down debt versus pursuing an acquisition like Crabtree, we think that just the implied growth rate of Crabtree's NOI, what that does? Actually, the growth rate is higher than our core growth rate. So on the one hand, we think it's going to be accretive from just a pure standing start NOI growth rate versus our core portfolio. So that was a big plus. The second was that point about where we are in the leasing evolution of what we need to accomplish. We just have a high degree of confidence that we're going to get this done ahead of schedule on market rent and within the TA ranges that we've outlined. One of the stats that I'd share with you is of that remaining go-forward bucket of LOIs and prospects that we talked -- that I talked to you about last question, 90% of that space, that new remaining space are A, B and C graded space in our portfolio. Another way to look at it is 66% of that new incremental rent that we're looking for the LOIs and our prospecting bucket are at our Fortress and Fortress Potential assets. So if you just step away, you'd say they've got remaining space at some of their best centers in their best quadrant of spaces that are remaining. So if I were at a much lower percentage where I didn't have that visibility, we might not pursue a Crabtree. We might pay down debt. But we feel like we've really flexed over that point of where -- like I think we're really in a different position than where we were at the beginning of the year.
Daniel E. Swanstrom: The only thing I would add to Jack's comments is that we are still expected to keep the company within our previously stated deleveraging targets under the Path Forward plan. So even with this acquisition, we remain in our target leverage range as part of the plan.
Jeffrey Alan Spector: And maybe, Jack, this ties to in your initial comments, you talked about the team being better aligned. I know we've talked to you in the past about your leasing systems. I guess, how does that -- how has that all come together? And maybe just tie it to your comment, I think you said you may look at other potential acquisitions.
Jackson Hsieh: Yes. It's interesting. I'll tell you, Jeff, like we did kind of case study internally like lessons learned in the Crabtree process. And I think it really works quite amazingly well given how we do our business today, the technology and the systems and the process that we put in place. It's -- I mean, hard to describe how well the company is actually working right now. Like we didn't just magically go lease all the space. I mean, we had a plan. It was built on a 5-year plan. There was a lot of realignment with the operating teams. There's very specific criteria that are met for spaces in our portfolio with market rents and TA assumptions that flow into that 5-year model. So we're able to just make decisions very rapidly. It frees up the team to go forward. And we've unburdened a lot of our sales team, leasing team with things that -- so they can do their jobs more efficiently. So just across the board, it's helped us achieve the leasing goals that we need. And when we evaluate Crabtree and actually are integrating it, it's -- I can't really compare it because I wasn't here that long ago. But for what people tell me they've been around for a while, it's been a pretty seamless process so far. So we hope to get maybe another opportunity or 2 to try out to put into the business.
Operator: The next question comes from Floris Van Dijkum with Ladenburg.
Floris Gerbrand Hendrik Van Dijkum: Just maybe talking about the SNO pipeline. It's a large number, $85 million. Obviously, you had some leases commenced during the quarter. Curious what commenced during the quarter, how much was added? And as a percentage of your going forward NOI, what is this -- I mean, this is approximately 10% of your EBITDA as you say it is today. But as a percentage of your going forward, it's going to be bigger. Maybe if you can give us a little bit more detail on that. And also maybe talk about the composition of that SNO pipeline because presumably, if your average ABR is $73 a square foot right now in your going-forward portfolio, how much of that SNO pipeline is in the A bucket and B bucket versus C bucket? And what is the rent difference between those?
Daniel E. Swanstrom: Floris, I'll start and then Brad and Jack can chime in. If you think about your first point on the SNO as a percentage of NOI, in the Path Forward presentation that we put out, we gave the go-forward pro forma portfolio NOI was about $720 million. So if you kind of look at the $87 million as SNO, as a percentage of that, it's 12%. And obviously, the ultimate opportunity of $130 million of SNO is significantly higher over that $720 million. In terms of SNO, I think the second part of your question was SNO contribution to date. Again, in the Path Forward plan, we had outlined, and this is on the $80 million as of May that we expected about $25 million contribution in 2025. So about $10 million of that has been realized to date. In terms of the last piece, the composition?
Brad Miller: Yes. So if we're at -- it's Brad. We're at $87 million today on the SNO and with an ultimate goal to get it to $130 million. So of that additional $43 million, 90% of it is anticipated to come from our A, B and C rated spaces. So we feel really good about that.
Floris Gerbrand Hendrik Van Dijkum: And as you think about those A-rated spaces or B-rated spaces, what kind of premium rents do you get relative to the rest of the portfolio?
Brad Miller: Yes, certainly, we get a higher rent on our A and B spaces. I think one of the keys here is that we have -- in our 5-year plan, there's a specific market rent assigned to every single space. So whether it's A, B or C, we know what the target rent is that we need to hit for each space.
Floris Gerbrand Hendrik Van Dijkum: And then maybe my second question -- sorry, and I know I sort of cheated on my first question because it was multipart. But could you talk a little bit about the temp tenancy opportunity? I think you mentioned, obviously, at Crabtree Valley, 74% is permanent and -- or there's a huge temp opportunity there. Presumably, that also is incremental SNO potential in the portfolio. But maybe talk about what the temp tenancy percentage is today in your core portfolio? And where do you think that will be at the end of '26?
Jackson Hsieh: Floris, we kind of gave wide end ranges for 2028. I don't want to try to give incremental because answer, we're not putting out quarterly guidance. And if I give you a number, you'll probably try to do it. And so I think what I would tell you is that our goal is to really drive unproductive or temp tenants out of the center because there's demand for really high-quality tenants at this point, and we're showing that through our leasing momentum. And I would rather not constrain ourselves to give you a target for '26. We might exceed it. We might not exceed it. I don't want to be constrained that way. So you can rest assured we're growing as quickly as we possibly can to make the right decision to put the right tenant where we think it's going to, a, drive the most rent; but b, actually drive the most traffic as part of the merchandising plan in each of these centers. And then at Crabtree, we think there's an amazing opportunity to really tighten up permanent occupancy in that center. I would say that the prior owner did not probably commit the kind of capital that was necessary over the last few years coming out of COVID. There's clearly demand. We're seeing it, and we're going to get after it. It does cost money, and it does take time. And I also think that a lot of those same tenants really want to see capital going into the center, which we've committed to do. And so they've seen it. They know what we're doing. And in kind, you'll see updates from us maybe at the end of the year where we show progress before and after, and it will be quite significant.
Douglas J. Healey: Jack, the only thing I would add to that, and you've done a great job sort of explaining Crabtree and everything that we're doing. But from a retailer standpoint, we're talking to them all the time. They are elated that Macerich bought this property. They know exactly what a Macerich property looks like, feels like and how it's leased. So already, and I think I said this in my opening remarks, in the short time that we've had this, I can't tell you how many retailers proactively reached out to us and said, "Hey, we want to expand our store. We want to rightsize our store. We want to invest capital. We haven't because we didn't know who was going to own this thing." So those are the ones that are currently in the mall. Then the ones that [ aren't ] in the mall that want to be in the mall has been nothing short of extraordinary. So I think, as I said, we're going to have a lot of real quick meaningful updates in the very near future.
Jackson Hsieh: And Floris, finally, you talked about this inflection point in mid-2026. That's when you're going to really start to see the impact of all this leasing that's really going to be coming through the P&L. You'll start to really see it.
Operator: And our next question will come from Vince Tibone with Green Street.
Vince James Tibone: Could you discuss the rationale in keeping South Plains Mall as part of the go-forward portfolio? When you consolidated the center last year, I recall you saying there was really likely no equity remaining at that property after the $200 million mortgage. So curious kind of what changed, what made you presumably want to contribute more equity into that center to get it refinanced versus just handing the keys back.
Jackson Hsieh: Vince, what I'd say on that, look, this list of properties still could change a little bit. This is the go-forward list at this moment in time. Specifically to South Plains, we are in discussions with the lender at this moment, seeking an extension. We think that with the demand in the trade area with the right terms of an extension, we think we can kind of create NOI lift that will sort of be at the point where at the end of 3 years from now, that loan and NOI will be more in balance. So I would just leave it to say that it's on the list now. It may come off the list, right? So it's going to be very dependent on the discussion that's happening right now with the lender. I mean you've done the math. So the debt yields are in the high single digits. So you're right, you compare it to putting equity somewhere else, like in a Crabtree, it's a lot more attractive. So -- but with the right loan structure, we think there might -- it could be an interesting opportunity.
Vince James Tibone: No, that makes sense. And I figured you're in negotiations with the lender there. And then could you -- just given the portfolio list could be fluid, are you able to share any insight into the performance for the remaining non-go-forward assets in terms of how much NOI growing or declining for those assets? I mean, I might be able to some back of the envelope math to get to first quarter results, but I'm not sure if there's any noise there. So I was hoping you can just share kind of ballpark where -- how NOI has trended year-to- date for the current non-go-forward property same store.
Jackson Hsieh: Yes. I would say like high level, Vince, like we're not putting capital into those properties. The leasing that's happening there, it's being handled differently. The asset management teams that are operating those assets are treating them differently. So I would just say they're not growing at the same rate as our go-forward portfolio, not even close, actually. We're really just trying to maintain occupancy as a priority in those centers. And some -- as we kind of move through the portfolio and look, other people have different ideas. There are other -- we're clearly selling other properties where there are other buyers that may have a different angle or a different focus that can create value for that asset. I mean for us, it's really just a prioritization concept like where we only have a certain amount of capital, certain amount of bandwidth, certain amount of leasing effort. So we're really trying to concentrate that effort into that go-forward portfolio.
Vince James Tibone: No, that makes sense. Is it fair to assume, [ too, any of ] those malls are effectively on the market given the release in May?
Jackson Hsieh: Yes. I mean I think that's for sure. I mean they -- I would say they're on the market or they -- the thing that's interesting about those properties, they generate cash flow, in some cases, FFO, some of them are unlevered. So they're additive to what we're trying to do right now, which is the capital is good for the company, and we can use that capital to reinvest. But in the end, we are operating and leasing and managing those properties differently now.
Operator: The next question will come from Ronald Kamdem with Morgan Stanley.
Ronald Kamdem: A couple of quick ones or just one. On the go-forward portfolio, that sort of NOI growth, maybe can you talk about what are some of the factors that are holding that back sort of this year, whether it's Forever 21, whether it's transition from temp to permanent? And just some updated thoughts on once you get that inflection point you talked about next year, how does that -- what sort of a normalized growth rate we should be thinking about for the go forward?
Daniel E. Swanstrom: Ronald, this is Dan. I think you've hit a few of the points with Forever 21 this year. Also all the leasing efforts and repositioning effort as it relates to 2025 specifically. I think if you look at our -- step back and look at our Path Forward presentation, we put out for the go-forward portfolio over the next 4 years, a midpoint CAGR go-forward portfolio of 5.2%. I think we've been pretty clear that, that really ramps up to Jack's point in kind of a mid-'26 inflection point. So we've said for 2026, we can see that being 3% to 4%, but it significantly ramps from there. But the important point is, over the next 4 years, it's north of a 5% NOI growth rate for the go-forward portfolio.
Ronald Kamdem: Helpful. And then if I could sneak a quick follow-up on just Crabtree. The CapEx budget that you have for the asset, maybe high level, what is that going towards? I mean, there were some articles about sort of the parking lots and flooding and different things. Is that -- just maybe details on what the CapEx plan is going towards.
Daniel E. Swanstrom: Yes. So it's over a couple of different items. It's obviously some of the re-leasing activity that's going to be there. But big picture, as Doug alluded to, we're going to reimagine the center through a more dynamic tenant mix, modern environments, refreshed experiences. We're doing 200,000 square feet of common area that will be reimagined, painting, lighting redesign, handrails, a new furniture package. We're doing some interior signage and wayfinding, some greenery. We're doing a food court that's going to be revitalized, new vertical transportation, the parking deck, as you alluded to. So I think that gives you a mix of what we're looking to do at the asset. We've outlined about $60 million in total over the next couple of years.
Jackson Hsieh: And also, the prior seller, they had already initiated a storm drain reassessment -- redesign that will alleviate some of that flooding that's historically happened at that center. So that work is already in place. The parking stuff that we're working on is just make it more visually enhancing, some of the sealant needs to be redone. So I would say a lot of it is going to be more cosmetic oriented and sort of client-facing, which I think will be good at because that center really hasn't seen capital go in, in that way for quite some time.
Operator: And our next question will come from Omotayo Okusanya with Deutsche Bank.
Omotayo Tejumade Okusanya: Over this earnings season, you've had a couple of the multifamily REIT kind of talk about L.A. still struggling. A couple of the industrial guys have talked about it. Again, you guys are not necessarily an L.A. story. But just curious if you could talk a little bit about how your portfolio is performing kind of across all your different California locations, whether it's L.A., Orange County or Northern California?
Jackson Hsieh: Yes, I would say, like our California exposures you need -- obviously, we have the Bay Area. We've got Corte Madera, Broadway Plaza. Those are doing quite well given some of the, I call it, more headline news in downtown San Francisco, although I believe the mayor is doing an excellent job up there in terms of trying to address some of the perception issues in that city. If you go to Central California, Modesto and Fresno, those centers are doing well. They're within sort of defined trade areas. Southern California for us, the portfolio is kind of -- in a kind of a reshape, right? We've decided -- we sold The Oaks. Santa Monica Place is in transition with the lender. Lakewood is under contract. So if you look at what we have left in the go forward, Los Cerritos, that is a -- that mall is doing gangbusters right now. Lots of traffic, lots of sales, lots of tenant demand. The area that we're most focused on right now, which is an opportunity, is the former Sears location. We are looking at an anchor option there that we believe -- I can't really talk about it right now, but that will bring a lot of traffic, a lot of demand into that wing of the center. We've got a very, very unique tenant that's we're in negotiation on in the former Forever 21 location, which is in that same Sears wing. So we're super excited about the potential for Los Cerritos. Victor Valley is a very solid center. It's in a very captive trade area. I wouldn't call it L.A. It's in that Southern California Beltway, but it's a very -- it's the only mall in town up in Victor Valley. We have Inland Center. Inland has got more competition, right, with Victoria Gardens and Ontario Mills that surround it and some of the power centers. But if you look at the -- in terms of our L.A. exposure, I would say Southern Cal, we feel really good about Los Cerritos, which is our most important asset down there at this point and Victor Valley. So -- and then the others are part of the Eddie package.
Operator: We are over our allotted time today. We have time for one more question, and that question will come from Ravi Vaidya with Mizuho.
Ravi Vijay Vaidya: I wanted to ask about the opportunity with Forever 21. You mentioned that a good number of the backfills have been signed and a bunch are under LOI as well. How many of these are straight up single backfills? And how many require a split of the box, which would require more CapEx?
Douglas J. Healey: I think -- yes, Ravi, it's Doug. I would say -- and Brad, back check me. I would say the majority of the Forever 21 boxes are straight backfills with the exception being a few that we may need to demise 1 or 2 or 3 ways. And as I said in my remarks, we're about 50% committed and another 30% in the LOI stage. So not only are we going to basically double the rent that Forever 21 was paying, but you're going to see some uses come in that far exceed what Forever 21 was doing in the shopping center. So we're super excited to get those spaces back, to be very honest with you.
Ravi Vijay Vaidya: Got it. That's helpful. And maybe just the impact of the DICK'S Sporting Goods and the Foot Locker merger have, what's the potential store closure impact there? And what's the backfill opportunity?
Jackson Hsieh: Yes. I mean we're not aware of any kind of closure list or anything like that. But if anything, I think that having a DICK'S credit become our #1 tenant. If you look at it with the combined Foot Locker-DICK'S contribution, I mean, I think that's going to be a real positive for us. And I think that the Foot Locker stores that we have in our go-forward portfolio are quite productive. And so we'll patiently wait to see how that DICK'S potential transaction moves forward and react from there.
Operator: I would now like to turn the conference back over to Jack Hsieh for closing remarks.
Jackson Hsieh: Well, I want to thank everyone here, especially all the colleagues that work here at Macerich. I mean they've been doing yeoman's work across the platform and couldn't do this without them. And we look forward to more updates and continued momentum on achieving our Path Forward plan. Thank you.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.